Operator: Ladies and gentlemen, thank you for standing by. I'd like to welcome you to Fibra UNO's Third Quarter 2025 Results Conference Call on the 29th of October 2025. [Operator Instructions] So without further ado, I'd like to pass the line to the CEO of Fibra UNO, Mr. Andre El-Mann. Please go ahead, sir.
André Arazi: Thank you, Luis. Thank you, everybody. Good morning. We are very pleased to deliver the results of the third quarter 2025. And I would like to make a few comments about that before I pass the mic to Jorge to go in depth of the numbers. We are focusing on the year-on-year results. We expect and we projected last year to be in the double-digit area of growth in our top lines, our most important lines, which are, in our view, total revenue, NOI and effective payout per share. All of those, we think we will be in the double-digit area by the end of the year, comparing year-on-year. Although it's a very predictable business, ours, it has seasonality also and especially seasonality quarter-over-quarter. We have seen throughout the year that the fourth quarter is the strongest of them all, and we expect to close the year in the double-digit area in the top line that we -- that I referred earlier. As the year-end approaches, we also are looking at the projection that will be released by our company by year-end for 2026. And we expect more resilience, more stability, even brighter number for next year. The top line is important for us to have a little bit of context. In order to achieve double digit in the top line, as you have seen, we have been posting a very interesting leasing spread in all of our sectors. Let's say that we have achieved double digits overall in our portfolio. The double digits, it is only in the revisions of the contracts. And as you know, we revise only 1/4 of the contracts every year. So if we achieve, let's say, 10%, it only impacts on the whole portfolio 250 basis points. So for us, this 250 basis points plus the 400 points, let's say, of inflation will only bring us to 650 basis. And we are projecting as we projected last year, double digits. In order to get -- to fill that gap, we need to have a lot of efficiencies, cost efficiencies, cost of debt efficiencies that we are now in the verge of obtaining because of the decreasing of the rates, both in the U.S. and in Mexico. And -- but what I want to say is it's difficult for a company like this to achieve the double-digit area. We are committed, and we will project for the next year. You will see our projection by year-end. But I want to stress that it has to take all the effort of the team in order to get to that area of double-digit growth in the top line, the 3 main lines that I relayed earlier. For this year, I think we will -- I mean, for 2026, we will rely on this year's achievement, the positive impact on the internalization of the management, the execution of the joint investment with Fibra NEXT, which is due in the next coming months. To achieve these goals, we will need yet again all hands on board. Proudly, I can't stress enough that these results will never be possible without the help of each and every one of FUNO's collaborators. To all of them, my most sincere and deepest gratitude. In the ESG front, Again, we are setting the bar very high for the rest of the sector. We are absolute leaders in equality, which with our highest -- our higher than market goals and stronger and more aggressive than market, policies in our hiring staff, our staff hiring. In sustainability, I will relate to what I described earlier about stability in the economic because we need to have stability in our economic lines in order to have stability in the environmental lines of our business. More than ever, environmental policies that have placed our company in the outstanding place that we have as the best-in-class across the board. Finally, in governance. Governance is the line in which we have invested more economically and intellectually, starting with a long time awaited internalization of our management, but following with the outstanding job on reshuffling our Boards and the Board of FUNO and also the installment of the Board of our partner sister company, Fibra NEXT. All these decisions have placed our company in higher ground. And we absolutely lead the sector, and we champ the industry, which makes me personally very, very proud. In recap, I am very happy to have delivered yet again a very attractive third quarter and even more to have a clear view of the fantastic numbers ahead and with the transformational steps taken, that we will be having great times ahead for our company. Thank you for your trust. And again, the best is yet to come. I will now pass the mic to Jorge for the numbers in depth.
Jorge Pigeon Solórzano: Thank you very much, Andre. Thanks, everybody, for joining us in our quarterly results call. I will now go into the quarterly MD&A, as usual, and then open up the floor for questions and answers. Starting with the revenue line. Total revenues increased by MXN 20 million quarter-over-quarter or 0.3% to reach MXN 7.5 billion. This is a 5.1% increment on a year-over-year basis, we consider that this against the third quarter of 2024. This change was mainly driven by inflation indexation in our active contracts. Rent increases on lease renewals, as Andre has mentioned, only a fraction of our contracts expire each year, and those are the ones in which you are seeing the leasing spreads that add basically about 100 or 200 basis points on top of inflation on a quarterly basis. And these were offset by the peso-dollar exchange rate appreciation that we saw during this quarter. And the effect it has on our U.S.-denominated rents as well as U.S.-denominated interest expense lines, which I'll discuss a little bit later. In terms of occupancy, the operating portfolio's occupancy stood at 95%, which, as you know, has been the long-term goal of the company to have a 95% occupancy stable compared to the previous quarter. Industrial portfolio recorded 97.4% occupancy, stable versus the second quarter of '25. We're happy to see that we are having a very high retention rate of our tenants and strong leasing spreads, as I will describe shortly. In the retail portfolio, we saw a 93.6% occupancy rate, basically 10 basis points below the previous quarter. The office portfolio recorded an 83% occupancy, 80 basis points above the previous quarter. The Others segment reported 99.3%, occupancy stable versus the second quarter of '25, and the In Service portfolio recorded an 84.4% occupancy or 400 basis points above the previous quarterly primarily due to improved occupancy in the retail segments of the Samara Satelite property, which is on its way to stabilization after we delivered the project a little bit earlier this year. Very happy with the performance of that asset. In terms of the operating expenses, property taxes and insurance, total operating expenses increased by MXN 36 million or 3.7% versus the second quarter of '25, mainly due to increases in the cost of some suppliers and services above inflation. As you know, this is something that we have been working on to contain over the course of a couple of the last couple of years, and we are making good progress in containing those expense growth. In terms of property taxes, they decreased by MXN 4.6 million, mainly due to updates that were reflected in the second quarter that did not happen during the third quarter of '25. Insurance expenses increased by MXN 7.9 million or 6.4% compared to the second quarter, mainly due to the biennial update of our insurance policies. In terms of net operating income, the effect of the above resulted in increase of MXN 2.9 million or 0.1%, basically flat versus the second quarter to reach MXN 5.58 billion. NOI margin calculated over rental revenues was 82.2% and 74.2% compared to total revenues. This compares to an NOI increase of MXN 167 million or 3.1% year-over-year. In terms of interest expense and interest income, net interest expense decreased by MXN 45.8 million or 1.5% compared to the second quarter of '25. This was mainly due to a combination of factors, which includes the interest rate reduction in pesos and its effect on a variable-rate of debt. The appreciation of the exchange rate, which went from MXN 18.89 to MXN 18.38 and its effect on interest payments in dollars during the quarter. This was offset by a decrease in interest capitalization and the impact of pricing of our derivative financial instruments as well. Compared to the third quarter of 2024, net interest expense decreased by MXN 150 million or minus 5.4% year-over-year. So we're starting to see that effect in our numbers. Funds from operation as a result of the above, controlled by FUNO increased by MXN 46.7 million or 2% compared to the second quarter, reaching MXN 2.4 billion. When compared to the third quarter of 2024, FFO increased by MXN 112 million or almost 5% year-over-year. Adjusted funds from operations increased by MXN 90.8 million or 3.9% compared to the second quarter of '25, reaching a total MXN 2.435 billion as a result of gains from the sale of a plot of land in Altamira, Tamaulipas for MXN 44 million. When compared to the third quarter of '24, the AFFO increased by MXN 156.5 million or almost 7% year-over-year. FFO and AFFO per CBFI. During the quarter of 2025, FUNO did not issue or repurchase CBFIs, closing the quarter with 3.805 billion CBFIs outstanding. The FFO and AFFO per average CBFI were MXN 0.6285 and MXN 0.64, respectively with variations of 2% and 3.9% compared to the second quarter of '25. When compared to the third quarter of '24, the average FFO and AFFO per CBFI increased 5.2% and 7.1%, respectively, on a year-over-year basis. Lastly, on the P&L, speaking about the distribution. The net distribution, which is one of the important lines that we focus on. The third quarter distribution amounted to MXN 2.305 billion or MXN 0.605 per CBFI, 100% attributable to fiscal result, which represents a 94.7% quarterly AFFO payout. After the end of the quarter, FUNO issued 5. 330 billion CBFIs related to the employee compensation plan leaving the final CBFI count at 3.810 billion CBFIs outstanding eligible for distribution going forward. Moving to the balance sheet in terms of accounts receivable. Accounts receivable for the quarter totaled MXN 2.309 billion (sic) [ MXN 2.390 ] billion a decrease of MXN 17.2 million or 0.7% compared to the previous quarter, basically normal course of business operation. In terms of investment property value -- the value of our properties, including financial assets and investments in associates increased by MXN 567.1 million or 0.2% versus the second quarter of 2025 as a result of CapEx invested in our portfolio as well as the fair value adjustment of our investment properties, including financial assets and investments in associates. In terms of debt, the total debt as of the third quarter of '25 stood at MXN 147.99 billion or MXN 148 billion compared to MXN 143 billion in the previous quarter. This variation was primarily due to the final disbursement of the Mitikah mortgage loan for MXN 2.3 billion. This is the last installment of the prepayments that we had for Mitikah. A net increase of MXN 393 million in bilateral lines of credit and the exchange rate effect of the peso, which appreciated from MXN 18.89, as I mentioned, to MXN 18.38 per U.S. dollar. The net effect of the above on our total equity meant an increase of MXN 2 billion or 1.1%, including the participation of controlling and non-controlling interest in the third quarter '25 compared to the previous quarter, was primarily due, as I mentioned, net income generated from the quarter, derivatives valuation, shareholders' distribution or CBFI distribution, sorry, and the executive compensation plan provision. Moving to the operating results. We are very pleased to see that leasing spreads continued to show a very solid performance with growth in peso terms for our Industrial segment of 16.8% or 1,680 basis points, 610 basis points or 6% for the Retail Segment, 530 basis points for the Others segment and 130 basis points for the office segment. So we're pleased to see that even in the office segment where we don't see a lot of pricing tension we have been able to increase rents a little bit. Leasing spreads in dollar terms for these renewals were 10.4% in dollar terms for the Industrial segment, almost 9% or 890 basis points in the retail segment, and we saw a slight decrease of 2.5% in the office segment. In terms of constant property performance, the rental per square meter in constant properties increased 5% compared to the annual weighted inflation of 3.75%. So we recorded a 1.2% increase in constant properties in real terms, mainly due to rent increases above inflation, the above-mentioned leasing spreads, rent renewals, the natural lag that we see in inflation indexation in our contracts, which were also partially offset by the appreciation of U.S. dollar-denominated rents. On a subsegment level, the portfolio's total annual rent per square foot went from $12.7 to $13 or a 2.2% increase compared to the previous quarter, mainly due to increases in both contracts as well as renewals offset by the peso appreciation and its effect on U.S. dollar-denominated rents. NOI at a property level for the quarter remained stable compared to the previous quarter. This is mainly due to the following: for the Industrial segments, Logistics decreased 1.4%; Light Manufacturing decreased 9.7%; Business Parks decreased 24.1%, latter mainly due to appreciation of a credit note to one specific tenant. The decrease in NOI in the segment was mainly driven by exchange rate appreciation, its effect on U.S. dollar-denominated rents. The office segment NOI decreased 4.5% on a quarterly basis, mainly due to exchange rate appreciation and the effect of U.S. dollar-denominated rents. In the retail segment, Fashion Mall subsegment increased 11.6%; Regional Center subsegment decreased 0.8%, almost flat; and the Stand-alone subsegment decreased 2.5%. The decrease (sic) [ increase ] in Fashion Mall segment was mainly due to the contribution of variable income. The Others segment's NOI increased by 11.3%, mainly due to hotel's variable income seasonality. And for more detail on this, we can move to Page 24. With this, I conclude the commentary on the MD&A for the quarter. And Luis, I would like to ask if you can poll for questions and open the mic for the Q&A session. Thank you very much.
Operator: [Operator Instructions] Okay, our first question is from André Mazini from Citi.
André Mazini: So 2 questions, and thanks for the color on the internalization. So the first one is when will Samara, Midtown Jalisco, Montes Urales stock contributing revenues to FUNO as they're going to be used for the internalization, if it's going to be January 1 or some other date? This is the first one. And the second one, the office occupancy has been increasing but at a slow pace, right, currently at 83%. So maybe looking further ahead at the end of 2026, say, what do you think it's fair occupancy for us to have in the models, say, 1 year, 2 years down the road for the office space? And what needs to happen for occupancy in office to increase more rapidly?
Jorge Pigeon Solórzano: Thanks, André. On the internalization, January 1 is the date that we expect to have the transaction effectively hit our financials. So basically, we will stop paying the fees, and we will stop receiving the revenues from the 3 properties and have those properties outside of our balance sheet as of January 1, 2026. Regarding the office space, we expect to continue to see gains in our portfolio as well as the market in general. I don't know Gonzalo, if you want to comment a little bit further on more or less what targets -- occupancy you expect going forward.
Gonzalo Pedro Robina Ibarra: Actually, as you may be aware, there are some core results that are already above 90% occupancy as Reforma, [Lerma], Torre Cuarzo are already above 90%. The ones that are struggling more are [Periférico Sur] [indiscernible] area. And I think that in order to bring the whole portfolio up to 90% occupancy will take us all 2026 and 2027.
Operator: Our next question is from Jorel Guilloty from Goldman Sachs.
Wilfredo Jorel Guilloty: I have a question about Mitikah. Just wanted to make sure. So one, is there no more payments going into Mitikah going forward? And two, what are next steps? Because if I remember correctly, there were supposed to be some divestments, some lease-ups in terms of apartment buildings there. So if you could just provide us an update on how that is going? Yes, that would be it.
Jorge Pigeon Solórzano: As of Mitikah, yes, that was the last payment. We don't have anything pending with Mitikah. And the second part of your question, I didn't understand what divestments you were referring to, Jorel.
Wilfredo Jorel Guilloty: No. I was just -- basically if there is anything else that we should be looking forward to happening in Mitikah. So in order -- in terms of lease-up, in terms of anything else that for -- related to the asset?
Jorge Pigeon Solórzano: Just the good performance that the asset is having. We expect it to continue to perform very well. Our tenants are selling very well. We're starting to get some variable rent component on that. It's definitely on, I would say, on the stabilization and fully leased for Mitikah. For the time being, that's the expectation on that asset.
Wilfredo Jorel Guilloty: And another question, if I may. So just thinking about your leverage, I mean, you did have to do a payment there and that had a bit of an impact on leverage. But how do you see your leverage trajectory going forward?
Jorge Pigeon Solórzano: Definitely, this is a good question. Thanks, Jorel. This is a business that since everything is inflation indexed. And as Andre mentioned, we're seeing positive leasing spreads and occupancy gains, in particular, in the office sector. The expectation we have is to have double-digit growth on our top line, NOI, et cetera, which will lead to a deleveraging -- naturally deleveraging of the portfolio from 2 pieces of the equation, let me say. One is, obviously, as we generate more cash flow, the properties are worth more. So the value of the company goes up on the asset side and debt remains stable. So that means that we delever on an LTV basis. And since the cash flows grow with inflation and interest expense remains flat on the fixed component of our leverage and is going down on the variable rent on the variable expense portion of our debt. The leverage on a net debt-to-EBITDA basis is also going down. So we have both of those figures going down, let's say, on an accelerated basis going forward, given where we're standing today.
Operator: Our next question is from Gordon Lee from BTG Pactual.
Gordon Lee: Congratulations on the results. Just a quick question, Jorge, I guess it's a little bit more on the technical side. But with the FX where it is now, I would assume that you'll be booking FX gains. And as a result of that, find out yourself in a situation where you were in previous years where you have to maybe pay an extraordinary a dividend above AFFO. One, just to confirm whether that's the case? And two, if it is the case, can you -- would you pay for it in cash? Can you pay for it in CBFIs? And for the portion that would be related to the debt that's going to go with the industrial assets to NEXT, who would pay that extraordinary? Would it be FUNO or would it be NEXT?
Jorge Pigeon Solórzano: Okay. On the overall FX situation, that's something obviously that we are monitoring closely. But we had a different scenario the last time that we saw this, which was a combination of appreciating FX and high inflation, which we don't have today. We have low inflation and an appreciating currency. So we don't anticipate at this point to having the same situation we have in previous years, in which the fiscal result was higher than the FFO and we had to pay extra. Our policy in the past was not to pay in CBFIs. As you may recall, we basically paid with a little bit of the money from the first quarter of the following year, given that the fiscal year-end deadline for payment of the fiscal result is [ March 31 ]. So we use some of the first quarter cash flows to pay that. And we are basically catching up to that. In the last couple of years, we have been catching up. So if we were in the scenario, which we don't anticipate, but if we were in the scenario where the fiscal result is higher than the FFO, we would expect to make that payment in cash and not with CBFIs and utilize the cash flows of the first quarter given that we have, again, the first quarter of the following year to catch up with that result. I don't know if I explained myself?
Gordon Lee: Yes. It was clear.
Fernando Toca: To answer the rest of your question, Gordon, this is Fernando. You have to calculate the FX gain for FUNO from the period where the properties were at FUNO. And then you will have to calculate the gain or loss in NEXT when the properties were contributed to NEXT. So if the FX moves significantly from the drop-down of the properties to the end of the year, then NEXT could have a significant FX gain or loss. But at least myself, I'm not expecting that.
Operator: Our next question is from Pablo Ricalde from Itaú.
Pablo Ricalde Martinez: I have one question on the contribution from Fibra UNO assets into NEXT. That has already been approved by you, and you're waiting for the antitrust authority to approve that. So I don't know if there's an update on that front or no?
Jorge Pigeon Solórzano: Well, we are expecting that to happen imminently, meaning the approval from the antitrust authorities. Hopefully, as soon as today, we may get a publication of the items that are going to be discussed in the plenary session of the Antitrust Commission. We have a favorable technical recommendation going into the plenary session. So we don't anticipate any issues and expect that to occur imminently, literally between, let's say, today and hopefully, this Friday, we should have a resolution from the Antitrust Commission. And once we do that, obviously, the Antitrust Commission will make it public, and we will publish ourselves the information that, that has gone through. And as for the drop-down, obviously, that is something that we have been looking into carrying it out. And as you know, it has market transaction components associated to it. So we're looking at market conditions to determine what the best timing for that is to happen. And I would say that this is as soon as immediately and no later than next year, but we're monitoring the market closely.
Operator: Our next question is from Adrian Huerta from JPMorgan.
Adrian Huerta: I have just 2 follow-up questions on prior ones. The first one on the internalization. Is there anything pending that you guys need in order to go ahead with the internalization in January 1? Or is everything set and there's no risk of this taking place on January 1? That's my first question. The second one, it's regarding Mitikah. When -- I remember about the Phase 2, is there any plans to launch the Phase 2 of Mitikah anytime soon?
Jorge Pigeon Solórzano: First question first, signed, sealed and delivered. There's nothing to wait other than for the time to happen, and it happens January 1, which is how the documents are set. January 1, 2026, is when you will see the swap of asset fees and everything. So -- nothing else to be done. That's basically a done deal.
Gonzalo Pedro Robina Ibarra: Just to be clear, up to December 31, the assets will be on the balance of Fibra UNO. As of January 1, they won't be any more on the balance of Fibra UNO.
Jorge Pigeon Solórzano: Correct. Exactly. And regarding Mitikah Phase 2, obviously, we do have a license available. We have space to work with it. We have several ideas. As you know, there's been a live project that has evolved. If you recall from the very early stages, we had the Condo Tower -- wasn't a Condo Tower, it had a hotel in there. And then we had a hotel somewhere else in the shopping mall. And now we have about -- I don't remember if it's 80,000 or 100,000 square meters of additional space available to be constructed there, but we have to wait and see a little bit market conditions to decide what we do. Shopping mall is working fantastically well. So we want to make sure that whatever we do adds to the success of what Mitikah is today, but we don't have any specific plans as of right now to execute on Phase 2. We do have the availability, but not right now.
Operator: [Operator Instructions] Our next question is from David Soto from Scotiabank. Okay. It looks like David does not have a question anymore. We'll give a few more moments for any further questions to come in. Okay. It looks like we have no further questions. Prior to the closing remarks, a friendly reminder that the Fibra UNO will be hosting the FUNO Day on November 13 in New York. I will now pass it back to the Fibra UNO team for the closing remarks.
André Arazi: Thank you, Luis. Thank you. As Luis just reminded you, we have our Investor Day on November 13. We are -- you are very welcome to join. And also, we are approaching March of 2026, which will be our 15th anniversary. We are very happy and very proud about that. Thank you for your attention to this call. And I hope I'll see -- you'll hear from us again with the full year or fourth quarter 2025 numbers shortly. Thank you very much.
Operator: That concludes the call for today. Thank you, and have a nice day.